Operator: Greetings. Welcome to the Champions Oncology Third Quarter Fiscal Year 2025 Earnings Call [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, Ronnie Morris, Chief Executive Officer. You may begin.
Ronnie Morris: Good afternoon. I am Ronnie Morris of Champions Oncology. Joining me today is David Miller, our Chief Financial Officer. Thank you for joining us for our quarterly earnings call. Before I begin, I'll remind you that we'll be making forward-looking statements during today's call and that actual results could differ materially from what is described in those statements. Additional information on factors that could cause results to differ is available on our Forms 10-Q and Form 10-K. A reconciliation of non-GAAP financial measures that may be discussed during the call to GAAP financial measures is available in the earnings release. Q3 marked a transformative quarter for Champions Oncology, underscored by our record revenue of $17 million and the successful closure of our inaugural data deal. Our core services business remains at the forefront, driven by our industry leading PDX bank and its precisely characterized multiomic data, which has become the foundation for the pharmacology studies that have been used broadly by the biopharma industry. Throughout the year, we have dedicated ourselves to strengthening our teams and refining our processes, resulting in enhanced quality, increased efficiency and scalability, which in turn have led to improved cost management and profitability. As we look ahead, we maintain a cautiously optimistic outlook for a rebound in our industry sector with customers beginning to expand their R&D budgets and a slight recovery in the capital raising environment for biotech industry. Despite the mild improvement in the sector, the environment remains tight, leading to potential performance volatility. However, the overall trend suggests promising opportunities for long term growth. A significant a differentiator for Champions has always been our PDX bank, offering pharmaceutical and biotech companies invaluable insights for drug development. By consistently expanding our collection of unique tumor models and enhancing their characterization, we have developed a robust multiomic data set with substantial potential for both drug discovery and development. This data set serves as a vital resource for our pharma partners who gain access to model specific data. With the rise of AI which can extract deeper insights from the biological data, the demand for our data set has notably increased in both breadth and depth. Recognizing this shift, we are actively exploring ways to extract greater value from this data. The recently closed data deal exemplifies our strategic vision where we licensed our existing deep multiomic data set while also acquiring prospective omic data sets from our unique bank of tumor models. This continued expansion of our data set aligns with our mission to create the world's most comprehensive biological data set from a clinically relevant tumor population. Such a data set aims to bridge the gaps in existing data using -- used for AI and ML mediated discovery workflows, ultimately transforming how the biopharmaceutical industry approaches target and biomarker discovery as well as pipeline management. Over the past few years, we have worked diligently to enhance this data platform, pioneering the use of deep multiomic data sets in oncology discovery. The biopharmaceutical sector is now recognizing the immense untapped value within this type of data set, shifting away from classical data sets that offer broad insights but lack depth. We are well positioned to take the lead in this evolving landscape, generating significant traction and enthusiasm for our initiative to build the world's deepest clinically relevant multiomic data set. However, I must caution that while we are excited about the initial validation of our strategy and continue to engage with other potential customers to build our opportunity pipeline, it remains premature to forecast the number of deals, their average size or the frequency with which they will occur. Consequently, we are not yet in a position to project the data revenue contribution to our overall results or its impact on our bottom line. In the coming quarters, we hope to secure additional deals that will provide clarity on these important questions. Regarding Corellia, our wholly owned drug development subsidiary, we are highly optimistic about the targets and compounds we have developed using our proprietary data. Our team is actively engaged in discussions to raise capital for the company while carefully weighing the impact on our bottom line results. Despite the challenging funding environment, we have partnered with experienced bankers to bolster our capital raising efforts and both we and our advisers remain hopeful about the outlook. In summary, as highlighted during this call, Q3 was a groundbreaking quarter for us. We are excited about the potential of our core business. And although we faced some challenges, we believe we are on a path towards long term growth. The successful completion of our first data deal represents an initial validation of our strategic vision, signifying that our data asset is poised to evolve into a transformative data business for champions. Now I will hand the call over to David Miller for a more detailed review of our financial results.
David Miller: Thanks, Ronnie. Our full results on Form 10-Q will be filed with the SEC by Monday, March 17th. As Ronnie highlighted, we had a record breaking quarter with total revenue surpassing $17 million and adjusted EBITDA hitting a record high. Research service revenue was $12.5 million compared to $12 million in the year ago period and our data revenue contribution was $4.5 million, reinforcing the early traction of our new platform. On a GAAP basis, our income from operations for the third quarter was $4.5 million compared to a loss of $2.6 million in the prior year. This included $600,000 in noncash expenses related to stock based compensation and depreciation. Excluding these items, adjusted EBITDA was a record $5.2 million compared to an adjusted loss of $1.7 million in the prior year. Turning the focus to our cash based results. Total cost of sales was $6.6 million compared to $7.8 million in our third quarter last year, a decrease of 16%. The decrease was primarily due to our [indiscernible] salary expense, other lab costs and outsourced lab services. Our gross margin for the quarter was 61%, lifted by the high margin data revenue. Our research service margins also improved, increasing to 48% compared to 35% in the same period last year. Our research service margins will fluctuate over the next two quarters with some expected balance related in revenue and cost of sales but we anticipate long term margin expansion exceeding 15% as long term revenue growth. Our operating expenses reflected our commitment to disciplined cost management. Our R&D expense declined $500,000 or 21% to $1.7 million as we optimize spending while maintaining key investments in our core business. Our sales and marketing expenses remained stable at $1.8 million and our G&A expense declined $200,000 to $1.8 million, primarily due to reductions in salary expense. Summarizing our year-to-date results of total revenue. Total revenue was $45 million compared to $36 million in the first three quarters of 2024, an increase of 22%. Total cost of sales was $21 million compared to $21.9 million, a decrease of $900,000 or 4%. Total gross margin was 53% compared to 40% for the same period last year with improvement coming from the high margin data revenue along with the operational efficiencies implemented, which enables us to improve on our revenue conversion and maintain our cost. Research service margins were 48% compared to 40% for the three quarters ended January 31, 2024. And total operating expenses were down approximately $3.8 million compared to last year, primarily from reductions in R&D expense. We reported adjusted EBITDA of $8.3 million compared to adjusted loss of $4.8 million through nine months of fiscal 2024. Now turning to cash. We ended the quarter with $3.2 million of cash on the balance sheet and no debt. For the quarter, cash generated by operating activities was $900,000 and cash used in investment activities was approximately $500,000. The net $400,000 quarterly increase in cash was primarily from an improvement in operational results, offset by an increase in accounts receivable. Our balance sheet is solid and our cash position is poised to increase in the coming quarters as our long term operational results continue to improve and we progress on our new data revenue stream. To summarize, Q3 was a milestone quarter with record breaking financial performance and successful execution of our first data licensing agreement. While we anticipate short term volatility in research service revenue, we remain confident in our long term growth trajectory. We have reaffirmed our full year revenue growth guidance of 10% to 15% and continue to focus on expanding our data business, enhancing profitability and driving shareholder value. We look forward to updating you on our progress during our May end earnings call in July. We'll now open the call to Q&A.
Operator: [Operator Instructions] The first question comes from Matt Hewitt with Craig Hallum.
Unidentified Analyst: This is [Tal] for Matt Hewitt. So I don't know if I missed this. You guys kind of cut out there for a little bit. But regarding the licensing deal, could you please indicate like how it's constructed and are there any other opportunities in the pipeline?
Ronnie Morris: So the licensing deal that we signed was for a portion of our data and it was a onetime fee. And in terms of the pipeline, we are actively talking to multiple partners and customers from the biotech and pharma industry about the power and the value of our data. And that's something that we hope to continue to discuss over the next coming quarters.
Unidentified Analyst: And then given the uncertainty we've seen in the past few weeks regarding tariffs, budget cuts, do you see any impact on your conversations with customers about those?
Ronnie Morris: I don't know if the tariffs themselves necessarily have impacted us. But certainly, it continues to be a tighter environment out there and it's something we watch carefully, I think, to a certain extent, based on our superior reputation, as well as -- we work with many, many companies. I think it's shielded us a little bit from the environment but it still remains a tight environment out there and especially in the biotech sector. And so I don't know if the tariffs have had any specific effect and it could be too early to see those effects. But certainly with regards to the biotech sector, in general, I think it's still not as strong as we had seen a couple of years ago and as strong as we would like it.
Unidentified Analyst: So then I would take it with the weakness you're seeing in the biotech sector, how -- is that directly translating to the implementation of these early studies and the demand from customers there or is that not as direct as I'm thinking?
Ronnie Morris: I think it certainly had an effect. I think we have done -- as we've talked about many years, we've done a lot to weather that both on trying to be more careful with our customer base and focusing more on some of the larger biopharmas over the last year and half as well as on the operational side just making sure we're -- our processes are in place and we're much more efficient and scalable. So I think we've attacked the tough environment both from a customer acquisition as well as an expense perspective. Having said that, it is still a challenging environment out there but I think we've been handling it well.
Unidentified Analyst: Have you seen like -- have you seen anything that gives you hope coming up in -- maybe starting this year that there will be a turnaround in customer demand, specifically in biotech?
Ronnie Morris: I think that it's sector specific. I think that there's certainly still a lot of investment in the pharma and biotech. There's still certainly a lot of investment in oncology. There are definitely pockets of certain types of targeted therapies that continue to be exciting. So while I would say it's definitely still a mildly challenging time, I think there's still a lot of activity. And I think it's certainly slightly better than it was roughly a year and half ago. So there are some silver linings. I just don't think that it's gotten back to the place where we saw it a couple of years ago and where we all wanted to get to.
Operator: [Operator Instructions] The next question comes from Maj Soueidan with GeoInvesting.
Maj Soueidan: Relatively new to the story, although I saw the company for a long time but never really got into as much and we started covering the company recently. And this whole data thing really is very intriguing. So I have two questions right now. The first question being around, forgive me, from my interest regarding that subsidiary you talked about that you have to raise some capital for that subsidiary. Can you give me some color in terms of are you raising money through subsidiaries, the company's parent company? And what does it mean for capital structure for the company? So that's -- what are the kind of capital raising mechanisms you're looking at to do that? And as an investor, how should I think about that? And so I'll pause for that answer and then come back with my next question.
Ronnie Morris: So a couple of years ago when we decided that our data -- and we have become profitable and we decided that we really wanted to focus a little more on our data. We had a couple of different kind of vectors that we were looking at. One was just the raw data and the value of the data. And one of the others was we had this data, we had a lot of deep biological data, a lot of response data and we felt like that would be a great place to see if we could find some targets and start to develop some novel drugs against these novel targets, and that's kind of what we set out to do. We're really excited about that effort. It's a separate company, it's a separate team. Legally, it's been separated from Champions. It's a true spin-out, wholly owned because we right now have been the only one funding it. But we got to the point now where Champions can continue to fund it because we really wanted to get to Phase I, Phase II trials and that requires a lot of capital. So we're out there raising capital. Our expectation after we raised the capital is that Champions will retain a percentage of those businesses. It will be an asset. It will have a different investor base, which is a different type of investor base than Champions Oncology investor base. It's more of a drug discovery investor base. And that's kind of how we're thinking about this and that's what we're out there trying to raise money for.
Maj Soueidan: So you guys aren't going out there raising equity for this, you're looking for just capital now outside CSBR's capital structure to help kind of fund this [Multiple Speakers] our ownership interest [Multiple Speakers] cash flow?
Ronnie Morris: It's not going to affect the cash flow and it's only going to be an asset that, hopefully, if we raise money at attractive valuation is going to be additive to the value of Champions shareholder.
Maj Soueidan: So on the data side, this new -- what you're doing now, I think is very awesome and I think it's where a lot of the industry is going or an opportunity that I think others are kind of exploring. Jensen has talked about it a little bit. I think even the administration has talked about using now to kind of help with cancer research. But the question I have more here is -- I mean, I know you're -- this is kind of a new model for you and you're kind of maybe -- I'm assuming kind of exploring how you're going to price the model. So this was all like, I guess, a licensing fee. So are you exploring other ways of maybe selling this data as you move through this and to understand it more and what your customers want? I'd like to understand maybe -- before my third question, what that might look like in the future?
Ronnie Morris: We're exploring all aspects of -- so if you think about -- we have an asset that we believe is valuable, it's our data. And then there are customers and customers come in different sizes and flavors. And there's a couple of different ways you can license that data. You can license it out for a fee, for a license fee. You can license it out for a fee plus some type of royalty or milestones, and there's all these different levers. And so we're certainly having discussions to certain smaller biotechs that they're obviously much more interested in potentially giving royalties and milestones for some of the larger pharma, they are more interested than just paying for license fees. So everyone is a little bit different. We're looking at different models. Right now, for us the most important thing is to understand the value and to speak to enough customers to really get them to understand the value of our data and to use some of our data and play with our data so they can understand why this is so valuable. So that's the first step and that's kind of the step we're in right now.
Maj Soueidan: So over time, you would anticipate potentially if this works out that you'll have a mix of licensing -- like large licensing data but also just maybe a recurring revenue component to some of the type of ranges you might get into depending on the biotech company, right [Technical Difficulty] company?
Ronnie Morris: It's certainly something we think about a lot and we're looking at different models. And we're not reinventing the wheel. These have been done before. And so we're trying to learn and we're trying to understand what the market will bear. And it's going to be a little bit different for different customers, but we're early on. And right now, we're -- so we're excited about the first deal, which is proof of concept and we have a couple of others in the pipeline. And as we continue to go, I anticipate like the rest of our business, we will continue to evaluate other opportunities and other possibilities of how we structure deals.
Maj Soueidan: And in regards to what you do, this is definitely a very high margin -- high gross margin business. So a lot of -- flows right to the bottom, right, depending on licensing or recurring. So on the -- now your last conference call, you kind of mentioned and you mentioned it today kind of a little bit, a lot of this kind of data move -- this movement to go data licensing model, a lot of it came from actually customers were asking you, right, there's about a inbound kind of inquiries from your customers? And I'm wondering how that -- is that where most of the interest is coming from? Was this new contract, for example, from a existing customer or a new customer? So I guess, there's two things, what opportunity you see with your own customer base, right? And do you see this as an opportunity to expand your customer base?
Ronnie Morris: I think it's both. You have to remember, we work with between 400 and 500 of the pharma and biotech companies. So we work with a large number of the biopharma companies within oncology. So we're fairly well known and we work with a lot of them. So it's not like -- so yes, we certainly have a large audience, we're out there talking to them about our data. Clearly, still the bread and butter in the core business is the largest part of our business where people send us their compounds and we do studies for them and we give them a lot of valuable insights on their drugs. But the plan is to both for our customer base and for our noncustomer base to be going out there and talking to people about the value of our data and why we think it's important.
Maj Soueidan: And when a customer -- maybe let's say like you had like this time has a buys a licensing arrangement or one big of a data, I'm assuming. Do you see the opportunity -- is this one and done with a customer, is there a reason for them to keep coming back? I want to understand that a little bit. I know there's an option for them to come with $3 million here, but maybe talk about that…
Ronnie Morris: We see data -- and this is, I think, a little bit of the difference between us and a lot of other groups. We've always seen data as something that continues to grow. So we have a -- I'll give you an example. We have 100 lung cancer patients and our first layer of data many years ago was a genomic profile. And then we went through a transcriptome profile. Now we went to -- and then we added a layer of proteomics and phosphoproteomics and then we've added other layers. So we continue to add layers so that the deeper understanding of the interactions of all the pathways within that tumor and also the interaction with different responses that that tumor has had both in the clinic and in the PDX model. So we keep enriching the data and that's the beauty of kind of our bank and our data. So as there's more opportunities to get more refined with the characterization, we keep characterizing these tumors and understanding the biology deeper and deeper. And now with the advent of AI, before it was much more complicated because we created a ton of data. But now with the advent of AI, these data sets just become more and more important and there's a lot that can be generated and learned from it. So yes, our plan is to continue to generate more data from these data sets and that seems to be resonating well with our customers.
Maj Soueidan: And just can you give me an idea in terms of the competition you're seeing out there? I think you said you wanted to be like a leader in this. And where -- are you seeing a lot more companies that you compete against do the same thing right now or do you think you are like one of the first ones really to kind of embark on this whole thing?
Ronnie Morris: So I think a lot of companies have been selling data for a long time. I think for a long period of time, most of the companies have been selling very, what I would call, longitudinal data with hundreds of thousands of patients with a small amount of data on each patient. We're one of the first who are doing it a little bit differently where not as many patients but with each patient and each tumor we're going very deep and really understanding the interactions at a very deep molecular and at a biological level. So from a discovery standpoint, from understanding the effect of a drug on the biology of the tumor and looking for new targets, I think we have a very unique approach. And I think it's the right time for it because the capabilities with AI and machine learning really avail this type of a data set to be able to unearth some of the deeper insights. So that's kind of a little bit of a different approach that I think is the right time for this right now and that's our goal.
Maj Soueidan: And my last question. Going back to your legacy business, are you seeing AI helping you in your own kind of your legacy business do your research for companies?
Ronnie Morris: Not so much yet. We haven't really seen that effect yet. It doesn't mean it's not going to come. It's just -- right now, we haven't really seen the impact of that on kind of the core business.
Operator: The next question is from Edward Gilmore, private investor.
Unidentified Analyst: Just had a couple of quick questions. On the AI side of things with the data, do you see a potential for the data to be used outside of drug discovery and research, for example, maybe more in a clinical setting with identification and evaluation of tumors?
Ronnie Morris: You mean in terms of like of a biomarker approach?
Unidentified Analyst: Yes.
Ronnie Morris: I've always felt -- I mean, we've always felt that there's two real best uses for our data for the deep data of understanding these tumors. And one was from a discovery perspective and the other was from kind of a biomarker perspective. The discovery perspective is kind of a -- is a better path right now. The biomarker path is still a super interesting path. It's just that for whatever reason most of the biopharma over the last 10 years have not been that interested in finding the right biomarker for the drug. A lot of reasons for that and I know they talk about biomarkers a lot. But we really haven't seen that much interest in really understanding what is that super patient population that they should only go for in a trial. I think it's important to them to kind of figure out the trial -- to make sure the trial is successful. But I don't know that they're super -- they're super keen on finding that very specific biomarker that's going to restrict or just kind of narrowly pick out the patients in the clinic that are only going to work for that drug. So it certainly could be a super good -- certain -- it's certainly a super smart way to use our data to also look for clinical biomarkers. But as of yet that I don't think has been the driving force for people to use our data as much.
Unidentified Analyst: We'll stay tuned for that. And then the second question, a couple of weeks ago, you guys put out a press release about the upcoming associates for cancer research meeting and announced that you had a number of abstracts that were accepted for presentation there. I wonder if you could just -- from your perspective, to investors kind of give a little bit more color on that and how excited you are and what you kind of expect to come from that? Because I know there's -- AI is going to be a heavy topic that's mentioned and talked about there.
Ronnie Morris: We have always been an organization that's kind of not so much like a CRO but more of a scientific leader, and that's the way our partners see us. I think it was important for us to show that we continue to be on the cutting edge, doing a lot of R&D and just continuing to be innovative and thinking about how do we develop the assays to just help the pharma partners that we work with just to develop the best drugs and get the best preclinical package is going to give them the best chance in the clinic. So we're excited about the continued number of posters because it shows that we just -- we continue to innovate, we continue to think of ourselves as an R&D organization to a certain extent and we're excited about it. And certainly, those abstracts will become available and you'll be able to read them.
Unidentified Analyst: One more quick question. On the PDX data side, do you have a team set up now internally that's leading that as far as like how you do customer acquisition or what's the go-to-market strategy there, and then I'll drop off.
Ronnie Morris: In terms of what? I'm not sure I understand the question.
Unidentified Analyst: In terms of how you're communicating to prospective customers about how they can find out that they have access to be able to license the data if they're a pharma or biotech company, just how they're discovering that they can find…
Ronnie Morris: In terms of the data side, yes, we have a separate team that handles the data side. We also have a team that handles just the core business but there's a lot of crossover between -- because it's a lot of the same customers. So there's a lot of crossover between the regular sales team, the business development team as well as the team that's handling the data strategy.
Operator: The next question is from George Marema with Pareto Ventures.
George Marema: I had a question on this $5 million license deal. Kind of roughly speaking, of all your data, the entire pie, how big a slice of the pie represented this deal? Is it 100%, 5%? How much data did they buy for $5 million out of the total data?
Ronnie Morris: That isn't something that we have publicly announced. We don't really talk about kind of how much people pay for tech and data. Different people have different deals depending on early, late. So that isn't something that we have spoken about publicly.
George Marema: And on your kind of go-to-market on this internally, do you have like dedicated sales people for this or how exactly are you marketing and selling these data licenses currently?
Ronnie Morris: We have a dedicated team. We have a general manager Matt Newman, we brought in the Head of our Data Sciences. We have a couple of business development people who have a lot of experience in this area. So yes, we have a team now assembled. It's a fairly new team over the last six months to a year but we have a dedicated team that's out there talking about our data.
George Marema: And did I hear earlier in the call that you do have a couple few that are in the pipeline in 2025 here so far?
Ronnie Morris: Can you repeat that, you cut out for a second?
George Marema: Did I hear it right that you have two or three deals that are in the pipeline currently on data licensing deals?
Ronnie Morris: I believe what you heard was we have a pipeline and we continue to talk to people. And we didn't mention the number of deals that are in the pipeline. And again, I think that -- I'll just add that some of the deals will be large, some of the deals will be medium, some of the deals will be small. And I think the goal is to get people to utilize our data and continue to make them a believer and use more and more data over time.
Operator: [Operator Instructions] We have no further questions in the queue. I'd like to turn the floor back to management for closing remarks.
Ronnie Morris: Thank you very much. As we mentioned, this is an exciting quarter for Champions Oncology. We look forward to having our fiscal year end call mid-July. So until then, stay tuned. And we're excited about the progress that we're making and we look forward to following up with everybody. Thank you for joining.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.